Operator: Greetings and welcome to the CalAmp Third Quarter Fiscal 2014 Results Conference Call. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions). As a reminder this conference is being recorded. It is now my pleasure to introduce your host, Mr. Lasse Glassen of Addo Communications. Thank you. Mr. Glassen, you may begin.
Lasse Glassen: Thank you, Operator. Good afternoon and welcome to CalAmp’s fiscal 2014 third quarter results conference call. With us today are CalAmp’s President and Chief Executive Officer, Michael Burdiek and Chief Financial Officer, Rick Vitelle. Before I turn the call over to management please remember that our prepared remarks and responses to questions may contain forward-looking statements. Words such as may, will, expect, intend, plan, believe, seek, could, estimate, judgment, targeting, should, anticipate, goal and variations of these words and similar expressions are intended to identify forward-looking statements. Actual results could differ materially from those implied by such forward-looking statements due to a variety of factors including product demand, competitive pressures and pricing declines in the company's wireless and satellite markets, the timing of customer approvals of new product designs, intellectual property infringement claims, interruption or failure of our Internet-based systems to wirelessly configure and communicate with the tracking and monitoring devices that we sell, and other risks and uncertainties that are described in the company’s annual report on Form 10-K for fiscal 2013 as filed on April 25, 2013 with the Securities and Exchange Commission. Although the company believes the expectations reflected in such forward-looking statements are based upon reasonable assumptions it can give no assurance that its expectations will be attained. The company undertakes no obligation to update any forward-looking statements, whether as a result of new information, future events or otherwise. Michael Burdiek will begin today’s with a review of the company’s financial and operational highlights. Rick Vitelle will then provide additional details about the company’s financial results, and Michael will then wrap up with CalAmp’s business outlook and guidance for fiscal 2014 fourth quarter. This will be followed by a question-and-answer session. With that it’s now my pleasure to turn the call over to CalAmp’s President and CEO, Michael Burdiek.
Michael Burdiek: Thank you, Lasse and good afternoon everyone. Thank you for joining us today to discuss CalAmp’s fiscal 2014 third quarter results. CalAmp’s Wireless Datacom segment is on track for a very strong second half of fiscal 2014. During the third quarter Wireless Datacom segment revenue increased 37% year-over-year. In addition Satellite segment revenue improved 72% compared to the third quarter last year. On a consolidated basis revenue for the third quarter was $63.5 million, up 43% compared to the third quarter last year. At the bottom line we earned $0.12 per diluted share on a GAAP basis and $0.23 per diluted share on a non-GAAP basis. Cash flow provided by operating activities in the third quarter was $5.6 million and we ended the quarter with a cash balance of more than $31 million and for the first time in over 20 years no bank debt. Within the Wireless Datacom segment our Mobile Resource Management or MRM products continue to experience strong demand from our fleet management and asset tracking customers. Meaningful contributions from the emerging auto insurance telematics vertical also helped drive growth in the third quarter. Our Wireless Networks business, which comprises the remainder of our Wireless Datacom segment, benefitted from strength in the energy markets. In addition solid revenue growth and improving margins in our Satellite segment helped further expand CalAmp's overall cash flow and bottom line profitability. Our growing cash balance allowed us to pay-off our bank term loan during the third quarter. Now I would like to review our operational highlights for the quarter. The Wireless Datacom segment posted record revenues in the third quarter with MRM products accounting for more than 60% of total Wireless Datacom revenue and Wireless Networks products and services accounting for nearly 40%. Similar to recent quarters we are continuing to experience very strong customer demand for our MRM products, particularly within our core verticals. Fleet management, which continues to be the largest application within MRM along with asset tracking, stolen vehicle recovery and the vehicle finance verticals are all growing at a healthy rate. We continue to be optimistic about insurance telematics as a future growth driver of our MRM products business and we are seeing encouraging signs as we continue to actively support a handful of customers who are in the early stages of launching their insurance telematics-based insurance offerings. Our third quarter results included the first meaningful quarterly revenue contributions from insurance telematics products and we expect revenue in this vertical to continue to ramp in the fourth quarter and beyond. We believe our products are competitively positioned, both in terms of functionality and price and we are closely monitoring this developing ecosystem so that we can rapidly respond to opportunities to provide value beyond just the hardware component. As our technology matures and our customers validate their business models revenue from insurance telematics applications could become a significant growth catalyst for CalAmp in the coming years. Moving to our Wireless Networks business third quarter revenues remained relatively flat on the sequential basis, with strength in the energy and automotive segments offset by continued softness in our government and transportation sectors. We continue to be quite pleased with our performance in the energy vertical where in the third quarter we benefited from our execution of previously announced contract wins as well as contributions from an OEM customer in the commercial solar power industry. We expect business with the solar OEM to remain strong in the fourth quarter. In the heavy equipment sector our development activities with Caterpillar for cellular and satellite-based mobile telematics devices remains on track. We are now moving from a design phase to a production phase for Caterpillar to provide hardware and specialized embedded software that enables the collection, transmission and analysis of critical vehicle data. This information will be used to notify Caterpillar equipment users to maintenance issues and service requirements and to provide the Caterpillar engineering team with vital performance information to aid in new product development. We continue to believe that this important customer could drive meaningful revenue growth for CalAmp starting in the second half of calendar 2014. The heavy equipment sector represents an attractive market expansion opportunity for us and we are investing in a number of business development initiatives, both directly and with other global heavy equipment OEMs and through cellular carrier partnerships to pursue future global growth and opportunities in this important market segment. On the software services front, during the third quarter recurring revenues represented 15% of the consolidated revenue, similar to last quarter. At the end of the third quarter we had approximately 420,000 unique software application subscribers, contributing to an ongoing recurring revenue stream for our Wireless Datacom segment. This is up from 4,500 subscribers at the end of the second quarter. During the third quarter we saw steady subscriber growth from small and medium business fleet customers. In addition the pipeline of new opportunities for fleet and asset management enterprise solutions expanded as we exited the third quarter and we anticipate new customer wins will support meaningful subscriber growth in the coming quarters. In other market verticals demand from our government customers remained weak in the third quarter. One bright spot was the partnership we announced with General Dynamics Broadband to provide customized versions of CalAmp’s high performance multi-carrier broadband routers for use with GD Broadband LTE Communication Systems, supporting mission critical public safety, defense and industrial applications worldwide. In addition we expect that the recently announced RSI acquisition, which I will discuss in more detail in a minute, will nicely augment our existing public safety business with municipal government customers and expand our reach within this sector. In the rail market we continue to experience weak demand for PTC Radios although we expect some uptick in shipments in our fourth quarter. We continue to reactively engage with customers and partners in these markets and we are becoming somewhat more optimistic that we will see some PTC backlog grow as we exit this fiscal year. Turning to our Satellite segment, revenue in the third quarter was $13.8 million, up 72% year-over-year. Third quarter gross margin of 20.6% compared to 17.7% in the year ago period reflects a substantial improvement year-over-year primarily due to a product mix favoring higher margin home networking equipment. Going forward we continue to expect that our Satellite business will generate gross margins in the mid to high teens and contribute meaningfully to our operating cash flow and bottom line profitability. Before turning the call over to Rick I’d like to address two events that occurred after the end of our third quarter. Last week we announced the acquisition Radio Satellite Integrators or RSI, a privately held provider of mobile workforce management solutions primarily to municipal government agencies, supporting applications such as public works, waste management, transit and public safety. This transaction improves CalAmp’s competitive position and growth prospects in the state and local government market by augmenting CalAmp’s current range of public safety solutions. Importantly RSI’s SaaS-based high margin revenue is expected to be accretive to CalAmp’s overall margins and non-GAAP earnings per share for our coming fiscal year. The integration of RSI’s operations is underway and we should be substantially complete by the end of our current fiscal year. We look forward to building on their stable base of municipal customers and expanding our range of integrated and innovative hardware and software solutions targeting unique applications in this important market. In addition this morning we announced the appointment of Amal Johnson to our Board of Directors. Amal brings significant experience in application software, cloud computing and hosted services from the perspective of both an executive and a venture capital investor. We believe that Amal will bring a unique perspective to our ongoing evolution and transformation as a leading provider of higher margin integrated hardware and software solutions for a broadening array of M2M applications. We welcome Amal to the Board and look forward to drawing on her wealth of experience going forward. With that I will now turn the call over to Rick Vitelle, our Chief Financial Officer for a closer look at our third quarter financial results.
Rick Vitelle: Thank you, Michael. I will provide a summary of our gross profit performance, income tax position, working capital management and cash flow results for the fiscal 2014 third quarter. Consolidated gross profit for the fiscal 2014 third quarter was $21.0 million, an increase of $7.0 million over the same quarter last year, primarily as a result of higher revenue in the Wireless Datacom segment. Consolidated gross margin improved to 33.1% in the latest quarter compared to 31.6% in the third quarter of last year, due primarily to the contribution of the higher margin SaaS revenue from the Wireless Matrix acquisition and margin improvement in the Satellite segment. Looking more closely at gross profit performance by reporting segment, Wireless Datacom gross profit was $18.2 million in the third quarter with a gross margin of 36.5%. Year-over-year Wireless Datacom gross profit was up by $5.5 million while gross margin improved by nearly two points primarily due to the shift in revenue mix towards higher margin subscription-based revenues. However on a sequential quarter basis Wireless Datacom gross margin declined from 37.2% in the second quarter, primarily as a result of product mix changes. Our Satellite business had a gross profit of $2.8 million in the third quarter with a gross margin of 20.6%. This compares to gross profit of $1.4 million and gross margin of 17.7% in the third quarter of last year. These year-over-year profitability improvements in our Satellite business are primarily due to higher revenues along with a shift in product mix in favor of more home networking products. Next, looking at bottom line results GAAP basis net income for the fiscal 2014 third quarter was $4.2 million or $0.12 per diluted share compared to net income of $4.2 million or $0.14 per diluted share in the third quarter of last year. The lower year-over-year GAAP basis earnings per share is due in part to the elimination of substantially all the company’s deferred income tax asset valuation allowance at the end of fiscal 2013 which caused the company’s effective income tax rate to revert to a level that is much closer to full statutory tax rates beginning in fiscal 2014. Despite this on a cash basis the company’s pretax income is still largely sheltered from taxation by NOL carry-forwards and is expected to remain so for about the next two years. Our non-GAAP net income for the fiscal 2014 third quarter was $8.2 million or $0.23 per diluted share compared to non-GAAP net income of $5.3 million or $0.17 per diluted share for the same quarter last year. Non-GAAP earnings exclude the impact of intangibles, amortization and stock-based compensation expense and include an income tax provision for cash taxes paid or payable for the period. For a reconciliation of the GAAP and non-GAAP financial results please see our third quarter earnings press release that was issued today which is available on our website. Now moving on to the balance sheet, at the end of the fiscal 2014 third quarter the company had cash and equivalents of $31.1 million. Operating cash flow was solid in the latest quarter at $5.6 million. Our total outstanding debt at the end of the third quarter was $2.4 million, which represents the carrying value of the non-interest bearing note payable issued in May 2012 as part of the purchase consideration for the product line acquired from Navman Wireless. This note payable is paid in the form of price rebates as sales are made to Navman under the five year $25 million supply agreement that was entered into concurrent with the Navman product line acquisition. As Michael mentioned a few minutes ago our continuing strong cash flow enabled us to pay off our bank term loan during the third quarter. Our total inventory at the end of the third quarter was $12.5 million representing annualized inventory turns of approximately 13x. At the end of the immediately preceding quarter inventory was $14.2 million, which represented annualized inventory turns of 11x. The consolidated accounts receivable balance was $30.1 million at the end of the third quarter. This represents an average collection period of 43 days compared to the receivables collection rate of 41 days during the previous quarter. With that, I will now turn the call back over to Michael for our guidance and some final comments. 
Michael Burdiek : Thank you, Rick. Now let’s turn to our financial guidance. Based on our current forecast we anticipate that Wireless Datacom fourth quarter revenue will increase solidly on a sequential basis, driven by continued demand in our core market verticals, growing insurance telematics revenue and contribution from RSI. Due to normal quarterly fluctuations and demand from our DBS satellite customer we currently expect satellite fourth quarter revenues to be substantially lower on both a sequential and a year-over-year basis, more than offsetting the Wireless Datacom growth. As a result we expect our fiscal 2014 fourth quarter consolidated revenue to be in the range of $60 million to $63 million. At the bottom line we expect fourth quarter GAAP basis net income in the range of $0.08 to $0.11 per diluted share and non-GAAP net income in the range of $0.19 to $0.23 per diluted share. In closing I’d like to recap some key points. First, our MRM products business is showing continued strength. We are pleased with the strong growth we are generating within our core verticals, along with the meaningful revenue generated this past quarter from our insurance telematics products. Second, emerging opportunities including those in the energy and heavy equipment sectors, the insurance telematics vertical and international expansion initiatives are expected to be a growth catalyst for the remainder of fiscal 2014 and beyond. Third, we are pleased with the recent acquisition of RSI and expect this transaction will improve CalAmp’s reach and growth prospects in the state and local government market. And finally, we firmly believe our unique hardware, software and service portfolio, supported by established channel partnerships with global reach give us the leverage to win a disproportionate share of opportunities and drive broader adoption of emerging M2M applications. That concludes our prepared remarks. Thank you for your attention and at this time I’d like to open up the call to questions. Operator?
Operator: Thank you. Ladies and gentlemen, we will now be conducting a question-and-answer session. (Operator Instructions). Our first question is from Mike Walkley of Canaccord Genuity. Please go ahead.
Michael Walkley - Canaccord Genuity: Great, thanks for taking my question. Happy holidays and congratulations on the strong results.
Michael Burdiek : Thank you.
Michael Walkley - Canaccord Genuity: I just want to dig in a little bit Michael on the guidance. I think we all realize the Satellite business can be lumpy given the customer concentration and you have talked in the past about this being roughly a $40 million annual businesses and based on my math you did just over 38 million in the first three quarters of the year. So when you talk about sharp seasonality, down in Satellite can you give us some color, is it down 30% or more sequentially and what might that mean for your gross margin lack of leverage in providing your guidance?
Michael Burdiek : Sure, well Satellite we’ve talked a lot about being roughly a $40 million business or $10 million a quarter plus or minus a couple of million. Certainly that was the case over the last couple of fiscal years. Through the first three quarter of this year we’ve been exceptionally blessed by having three consecutive quarters of more than $10 million of revenue. Some of -- actually three of the best quarters we’ve seen in quite some time. Obviously Q3 was quite a blow-out quarter for us in Satellite business. Our customer was -- had given us some forecasts earlier on and that was obviously reflected in our guidance given last quarter where we expected the last couple of quarters of the year to be relatively even loaded. Some of that demand which we expected to fall into Q4 was actually pulled forward into Q3, which really drove an exceptional number, this last quarter. Obviously what was taken out of Q4 was brought into Q3, which makes the sequential quarter comparisons to Satellite somewhat anomalous I think. We, in terms of exact percentages, in terms of sequential quarter decline, we haven’t specified that. But from a margin perspective because the satellite business is very much a turnkey outsource model at this point in time we don’t expect to see a significant deterioration in Satellite margins although they may be slightly lower than what was reflected in the Q3 results. And I think given sort of the mix shift between Wireless Datacom away from Satellite going into Q4 we would certainly expect the gross margin profile on an consolidated basis to improve. But back to the $10 million plus or minus a couple of million dollars a quarter we think that the Q4 estimate probably suggests that Satellite would remain in that $10 million minus $2 million sort of range, within that window. 
Michael Walkley - Canaccord Genuity: Okay, great. That’s very helpful. That’s kind of what I was thinking, based on the initial guidance to get to that, that helps in the modeling. Just on the broader picture, on the insurance telematics market, you have discussed in the past the six customers and you announced this, the deal with HIMEX, can you give some color, it sounds like they have three customers, is this included in your six insurance customers or is it an incremental new customer? And then if you could just provide some color on the implied growth in that business heading into your fourth quarter? Thank you. 
Michael Burdiek : Sure. The last couple of quarters we talked about a couple, a couple of active insurance programs. One of them was the RAC which we’ve discussed. And the other was a domestic-based opportunity. That opportunity was through HIMEX as you might assume given our recent press release. HIMEX has a number of different insurance clients. Only one I would say is at a ramp stage at this point in time, and there may be a couple of others that will be coming online in the next quarters. But we do have another customer, another partner not unlike HIMEX that is bringing an insurance client on board and we’ve just begun ramping to that client. So we really have three different opportunities right now which are contributing to revenue. And of those three really only two contributed to revenue in Q3. So we’re obviously expecting some incremental growth going into Q4. 
Michael Walkley - Canaccord Genuity:  Great, that’s helpful. And then given the insurance-based telematics can be more consumer interfacing over time, I know you’ve talked in the past that we’re just in the early, early stages. I think you used a baseball analogy of pre-season or spring training or something along those lines. But…
Michael Burdiek : Batting practice. 
Michael Walkley - Canaccord Genuity:  Batting practice, okay. Thank you. As you look out a couple of years do you think this business can be as large as your fleet business in a two to three-year horizon given the opportunities in this market? 
Michael Burdiek : Well, fleet’s a big business for us right now. It’s more than half of our MRM product revenue. Two to three years down the line I think that’s possible. I think to get to the size of our fleet business though we would probably be doing more than just selling hardware into that market application. 
Michael Walkley - Canaccord Genuity:  Right. You are still not going to talk about that until something is launched?
Michael Burdiek : Until something -- there is something more tangible to discuss. 
Michael Walkley - Canaccord Genuity: Okay, great. And then Michael last quarter you talked about certification with new carriers and Sprint being important. I think that makes sense given the HIMEX announcement also but do you have more carrier certifications coming and does that add anything to near term operating expenses? 
Michael Burdiek : Good question. I mean we have so many certifications underway with so many carriers in so many different parts of the world, that has driven some of our R&D expenses up. As you expand your global footprint and introduce new products for new and existing applications outside the United States that’s just the cost of doing business. But in terms of a significant increase in expenditures on carrier certifications going forward we don’t see anything that would be outside the bounds of what we’ve been experiencing the last couple of quarters. 
Michael Walkley - Canaccord Genuity:  Okay, great. So on margin, is it fair to think about modeling, absent some sequential lumpiness in Satellite that overall business trends would be revenue should grow faster than OpEx on a year-over-year basis?
Michael Burdiek : We would expect over the medium term that revenue would outgrow OpEx. Let me go back and address the carrier certification question. There is one exception to what I just said and that would be the carrier certifications or the country certifications required to support the Caterpillar rollout. As you probably know and as we discussed before the products that we will or hopefully will be supplying to Caterpillar next year are intended to be operational in any carrier network almost anywhere in the world. And to operate on a carrier network obviously you are obligated to certify those products in each of those respective countries. 
Michael Walkley - Canaccord Genuity:  So is would that be kind of a one-time large expense as you get close to the launch date and maybe…
Michael Burdiek : Well, it will drive out some of our carrier certification expenses. We expect to get compensated for that. So it’s just not an expense there should be some offsetting revenue for that expense. 
Michael Walkley - Canaccord Genuity: Okay, great. And then just on the fleet vertical, it had quite a strong year in terms of trends. As you enter calendar ‘14 do you see any changes in terms of the competitive landscape or the overall growth drivers of that division?
Michael Burdiek : From an application service perspective, or from a hardware perspective?
Michael Walkley - Canaccord Genuity: I guess on both just is that becoming a large vertical, just how do you see that market developing, any changes in the competitive dynamics entering 2014 calendar year?
Michael Burdiek: From a hardware perspective domestically we don’t foresee any fundamental changes in the competitive landscape. 
Michael Walkley - Canaccord Genuity: Okay.
Michael Burdiek : Internationally we’ll be exposed to different competitors as we penetrate additional markets around the world but we think we are very well positioned to compete and we see opportunities obviously to displace internal developments as an outsource partner for a number of fleet service providers outside the united states who today still source their own hardware. So on the hardware side, not radically different outlook in terms of competitive landscape. On the fleet services side obviously most of our business activity is domestic. The competitive dynamic for RSI is a bit different than what we inherited through the acquisition of Wireless Matrix given RSI’s focus on the municipal government space. There I would say it’s a little less competitive because it’s obviously a market that requires a great deal of discipline and perseverance in terms of pursuing opportunities that tend to take a long time to just stay. But that being said and also means that those customers are probably little more sticky than they might be for certain types of commercial fleet applications. So I think RSI potentially introduces a slightly different kind of competitive dynamic in to the CalAmp fold which we think is a positive. 
Michael Walkley - Canaccord Genuity: That sounds okay. And then just speaking of international, Rick do you have the percent of sales international, I think you shared that last quarter, just see how that business is tracking? 
Rick Vitelle: Yes, I do, I think… 
Michael Burdiek : I can give it to you. It was little between 16% and 17%, this past quarter. 
Michael Walkley - Canaccord Genuity: Okay, great. And one last question and I’ll pass on. I think you made some comments about the PTC, you talked to may be some visibility or improving backlog as you exit the fiscal year. Can you just give a little color what the revenue run rate has been in the last quarter still relative to the peak in the earlier stages?
Michael Burdiek : Well, last quarter Q3 was well under a $1 million. So considerably lower than where we were in Q3 last year, where I think we’ve reported roughly $3 million of rail revenue. We expect that to improve in Q4. As we stated in the prepared remarks. In fact we may be ahead of where we were in all of Q3 already this quarter. 
Michael Walkley - Canaccord Genuity: Okay, fair. And then has there been any kind of pick in conversations as just given, since it’s been in the news more with happened in New York with that tragedy, is there improved visibility or conversations about things picking up again in the next year? 
Michael Burdiek : We would expect next year to be better than this year because this year obviously has been very weak. And if there are few factors, number one the deadline hasn’t been moved. So the current mandate stands and that’s that the PTC technology must be deployed by the end of calendar 2015. Obviously the unfortunate accident, recent accident in New York has probably deflated to a great extent the lobbying efforts the rails have been making with Congress to push the deadline out and not by a little bit, but by quite lot and the number of -- the date being bantered about was 2020. Had that happened I would say it would probably been a de facto killing of the original mandate. So our suspicion is that the dead line probably won’t get pushed for some period of time and I it does it will be for a lot shorter period of tie than what was being discussed. And so I think that should lead to some increased demand for PTC radios going into next year, where we are already seeing improvements in demand in terms of new budget cycles and quoting processes as we were sort of winding down this calendar year looking into next calendar year and we do believe that our backlog will build as we exit this year and go into the calendar year 2014 and our fiscal 2015. 
Michael Walkley - Canaccord Genuity:  Great, well, congratulations on a successful calendar 2013 and I will pass it on for questions. 
Michael Burdiek : Thank you. 
Operator: Thank you. The next question is from Mike Crawford of B. Riley & Co. Please go ahead. 
Mike Crawford - B. Riley & Co.: Thank you. I’ll try to limit myself to less than 16 questions. Now historically with the heavy equipment sector being more important than your wireless networking business historically being the strongest margin business for CalAmp altogether. As Caterpillar ramps towards the end of calendar 2014, do you expect that factor willing to outpace what’s happened with the growth in the fleet management and the other MRM business. You see an uptick in Wireless Datacom gross margins overall or is it too close to call? 
Michael Burdiek : Simple answer to your question is yes, we would expect Cat shipments to begin to drive Wireless Datacom gross margin improvements all by itself. 
Mike Crawford - B. Riley & Co.: And would you expect that the routers and other equipment you are selling to Cat to have historically similar gross margins to your wireless networking business or higher overall? 
Michael Burdiek : Let’s say we’ll be consistent with our blended Wireless Datacom margin target of 40%. 
Mike Crawford - B. Riley & Co.: Okay. Thank you. And then last question remains to usage-based insurance so it sounds like you had some great growth opportunities, delivering kind of the platform and architecture the companies but are developing applications but are you also developing your own applications to be delivered as a service for that vertical as well? 
Michael Burdiek : Well, yeah. We are in the process of developing a set of platform services to support a number of different customers insurance based telematics applications. So I guess in short we are sort of building the platform elements necessary to wrap around our hardware devices, to enable the more rapid adoption of insurance telematic solutions and may be possible today, if someone had to integrate a raw hardware device and with their applications which is sort of what the market dynamic is today. 
Mike Crawford - B. Riley & Co.: Okay. All right. Thank you very much. 
Michael Burdiek : Thank you. 
Operator: Thank you. The next question is from Anthony Stoss of Craig Hallum. Please go ahead. 
Anthony Stoss - Craig Hallum: Hey guys on the Wireless Datacom side you talked about gross margins being down sequentially due to mix. Could you elaborate a little bit on the mix and also what you expect going forward and if this is a one-time event? Also love to hear more on, you mentioned OEM win on the solar side, under the energy sector, love to hear what the opportunities are there? Thanks.
Michael Burdiek : Sure. In terms of Wireless Datacom, gross margin was down sequentially and a big part of that obviously is the mix shift towards the blend between the MRM products and wireless networking products and solutions. Wireless Networks is a higher margins business. It was flat on a sequential quarter basis and so all of the Wireless Datacom growth in Q3 was in the MRM products area which generally represents gross margins across the product portfolio on a blended basis in the low 30s. We talked about ramping on some of the insurance telematics opportunities. As we’ve talked about, I think on previous calls, as we go out of the gate with some of the new product offerings for insurance telematics applications, in some cases we have to forward price, in order to secure these large longer term opportunities. But we believe on the insurance telematics product side, even though we may come out of the gate with slightly lower gross margin and say the blend of the portfolio, we believe that we have the opportunities to cost reduce those products as they begin to ramp in serious volumes. So over time we would expect margins to improve for that product category. As Wireless Network grows, both in terms of fleet services and in terms of some of the product offerings for government and rail applications we would expect wireless networks margins to improve as well, and then on a blended basis of course as you roll all that up overall better Wireless Datacom margin. So we think that, at least at this point in time we believe that Q3 should represent the near term low point in terms of gross margin profile for our Wireless Datacom segment. In terms of the Satellite OEM opportunity we mentioned this on the last earnings call that we had been involved in solar, excuse me, the solar power opportunity, we are engaged with a company that focuses on the solar power industry by building solar power plants. They have a solar controller assembly that with their own design which they brought to us to help on cost optimize and also enable certain types of wireless communication functionality. So we’ve had an ongoing relationship with that company for nearly a year and have been producing that solar controller assembly for them for the last quarter or so. That activity will ramp into our Q4 before probably moderating somewhat going into Q1. But we hope to be well positioned to support them on future projects that they are involved with, well off in the future. 
Anthony Stoss - Craig Hallum: Okay. Lastly Michael, we have a big picture on the recurring revenue subscriber side of your business. Are you seeing larger deals coming your way or they’re just more plentiful smaller deals? Love to hear to your view kind of going forward how you see things if there is lot of momentum there?
Michael Burdiek : In Q3 I’d say most of the action was on the small and medium business front. However we have seen some recent strong pipeline activity for more enterprise class customers, both in utility market as well in for certain municipal government agencies outside of the RSI acquisition. So the pipeline has been healthy and we’ve been notified of at least one reasonably large size municipal government agency award for fleet services.
Anthony Stoss - Craig Hallum: Great, thanks a lot, appreciate it.
Michael Burdiek : Thank you.
Operator: Thank you. The next question is from Scott Thompson of FBR. Please go ahead. 
Scott Thompson – FBR Capital Markets: Hi, good afternoon, gentlemen. Couple of quick questions. We talked last quarter about quite a bit of sell into Brazil that may have made some of the vehicle fab and some of the other opportunities we have in Brazil this quarter. We expect that to come back, how is the sell-through in Brazil looking also wanted to get an update on Royal Auto Club what kind of sell-through should we expect from that opportunity?
Michael Burdiek : Sure. You are quite correct. Brazil was very large in Q2. We characterize that as channel fill. It tapered quite a lot in Q3 although we did have some follow-on revenue in Brazil for stolen vehicle recovery solutions. However in the rest of Latin America we saw a pretty strong demand, in fact sequential quarter uptick in demand for stolen vehicle recovery solutions in other parts of Latin America outside of Brazil. In terms of the longer term Brazil opportunity as you know and most people know there is this Contran 245 legislation which when fully implemented will dictate that all new vehicles produced or all new vehicles imported and sold in Brazil must come equipped with stolen vehicle recovery technology, which will allow the tracking of the vehicle and to save many of the vehicle if it is reported stolen. We’ve felt for some period of time that Contran 245 would result in any direct demand for our stolen vehicle recovery solutions in that, that law or the implementation of that law would stimulate a lot of aftermarket demand for our product which may have been what drove the significant demand in Q2. However the outlook is changing a little bit in that we are involved with a couple of major suppliers to the automotive OEM companies who are looking for Telematic solution partners to help them support their customers in complying with the 245 legislation. So whereas before we didn’t really see too much of a direct OEM opportunity we are now starting to see that as a potential pipeline opportunity as the automotive OEMs start to position their product platforms to full compliance with the 24 5 legislation. In terms of RAC, RAC did represent about a third of our insurance-related revenue in Q3. We expect RAC to further ramp into Q4. I don’t believe RAC is ramping at quite the pace that they thought they would but what they thought they would be ramping at was a lot more than we thought they could support and I think our expectations have been pretty consistent with what’s been playing out in terms of reality. RAC is a great customer, they represent a large opportunity for us and we’re going to support them as best as we can, as they ramp their program out more broadly to their very large population of clients. 
Scott Thompson – FBR Capital Markets:  Okay. So the channel fill in Brazil do you still have some of that channel fill, except the sell-through or have you burned through some of that in the quarter? Do you have any insight there?
Michael Burdiek : I don’t have a great deal of channel visibility there personally. I know a good deal of that has been sold through. There was some follow on business with our channel partner there in Q3. And I really can’t predict how that’s going to play out into Q4. 
Scott Thompson – FBR Capital Markets:  Okay. And with the Caterpillar opportunity there has been a lot of talk of Caterpillar may be having about, may be little more difficult year than people might have expected with potential growth rates declining in China and other areas. Do you see those kinds of issues impacting your opportunity at all or as your opportunity more or less variable than may be their sell-through? 
Michael Burdiek : Well I think if Caterpillar fully ramped we would have some exposure to that volatility. But we are not ramped yet. And the ramp up to some steady state whatever that is, is a significant growth opportunity for us. 
Scott Thompson – FBR Capital Markets:  Okay. That’s important, thanks. One last question with RSI, can you talk to us a little bit about what that’s going to look like when you integrate it into the rest of the company? Are those government opportunities are going to pursue and quickly grow or do you think it’s going to take time to integrate the rest of the pipeline into RSI? 
Michael Burdiek : Well in terms of first year revenue growth in our press release we talked about RSI having recognized roughly $5 million of revenue over the past 12 months. Their accounting methodology is slightly different than what CalAmp will employ. RSI historically had recognized revenue for hardware sales, when the hardware was sold if those part of bundled solution. Going forward any hardware sale that’s coupled with the software subscription will be amortized over the minimum period associated with that subscription. So our expectation is in the first year of CalAmp's ownership revenues will probably not grow, be relatively flat but we would expect billings to grow and they have a very healthy pipeline of opportunities. They also recently acquired a significant municipal government customer that was just beginning to ramp. So there is some built in billings growth we believe that came with the acquisition, which is a very positive situation obviously. 
Scott Thompson – FBR Capital Markets:  Okay, great. Thank you guys. 
Michael Burdiek : Thank you. 
Operator: (Operator Instructions). And the next question from Mike Latimore of Northland Capital. Please go ahead. 
Mike Latimore - Northland Capital Markets: Hi, thanks a lot. Very nice quarter. Just, Michael you mentioned that I think you said Wireless Matrix recently had a municipal government when I guess, one is that right? Two, is that big enough to grow Wireless Matrix 5% to 10% next year and then can you clarify, how Wireless Matrix work in the municipal government segment and versus what RSI is doing?
Michael Burdiek : Sure in terms of -- it was a Wireless Matrix win, that’s correct. And in terms of potential subscriber growth if not a 10% customer, it will be what I would call a typical size enterprise customer of at least 1,000 potential vehicles under management. And in terms of how that works alongside RSI, obviously we intend to integrate RSI and focus it on the municipal government marketplace. So into the future the sales resources that we will inherit it through the RSI acquisition will be the one focused on municipal government sales. No matter what the platform element or what the product offering may be for that specific application. So we expect the government sales team, which will be mostly made up of RSI personnel will be driving sales for their legacy platform, the fleet outlook platform, which we acquired through Wireless Matrix as well our hardware product, including our fusion, LTE, broadband, router product.
Mike Latimore - Northland Capital Markets: Thanks, and then just to be clear the Satellite business we should still think long term, that’s in the 40 million euro, range, or 45 million euro long term, what’s the way to think about it?
Michael Burdiek : Well, it depends on your definition of long-term. Let’s say, short to medium term I think that’s a reasonable expectation. 
Mike Latimore - Northland Capital Markets: Okay, got it. And then, on international segment it’s been growing nicely. I guess what percent of revenue do you think that is over time. Are we going to see it grow from here or is the sort of overall business growing, so it stays in this kind of 16% to 17% range?
Michael Burdiek :  Well I think it should grow as a percentage of revenue. Obviously all of our Satellite revenue is domestic, so if we just grew our Wireless Datacom segment, geographically the way it’s grown, it’s going to drive up consolidated percentage of international revenue, obviously all by itself. But we have a significant amount of effort going into expanding our Wireless Datacom businesses around the globe. So we would expect Wireless Datacom revenue percent from international customers to increase over time. It won’t be as steady state, or steady linear kind of growth but we would expect it to grow over time.
Mike Latimore - Northland Capital Markets: And just, last question, I think you said the UVI segment, when it has a solid traction would be I think $3 million to $4 million a quarter I believe but just want to clarify that, that [facility you think]…
Michael Burdiek : Let’s go to the glossary, we talked about meaningful revenue being roughly $3 million a quarter or a $1 million a month. We were very close to that in Q3. We expect to do -- be better in Q4. And we hope to see it ramp from there.
Mike Latimore - Northland Capital Markets: Great, thank you.
Michael Burdiek : Thank you. 
Operator: Thank you. We have no further questions in queue at this time. I’d like to turn the floor back over to management for any additional remarks.
Michael Burdiek : Thank you. Thanks again for joining us today. And we look forward to speaking with you at the end of our fourth quarter. 